Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Perion first quarter 2014 Financial Results Conference Call. All participants are in listen-only mode. Following management’s formal presentation, instructions will be given for the question and answer session. For operator assistance during the conference, please press *0. As a reminder this conference is being recorded. With us today from Perion are Josef Mandelbaum, CEO and Yacov Kaufman, CFO. I would now like to turn the call over to Deborah Margalit, Director of Investor Relations. Deborah please begin...
Deborah Margalit: Thank you, and we appreciate the attention of everyone who is joining us today. On today’s call, management will be reviewing the financial results and business highlights of the first quarter ended March 31, 2014. The press release detailing the results is available on the Company’s website at www.perion.com. Before we begin, I’d like to read the following Safe Harbor Statement: Today’s discussion will include forward-looking statements. These statements reflect the Company’s current views with respect to future events. These forward-looking statements involve known and unknown risks, uncertainties and other factors, including those discussed under the heading “Risk Factors” and elsewhere in the Company’s annual report on form 20-F that may cause actual results, performance or achievements to be materially different from any future results, performances or achievements anticipated or implied by these forward-looking statements. The Company does not undertake to revise any forward-looking statements to reflect future events or circumstances. In addition, and as in prior quarters, the results reported today will be analyzed on a non-GAAP basis, which management believes better conveys the operational state of the business. We have provided a detailed reconciliation of non-GAAP measures to their comparable GAAP measures in our earnings release, which is available on our website, and has also been filed on Form 6-K. With that, I’ll turn the call over to Josef Mandelbaum, Chief Executive Officer. Josef…
Josef Mandelbaum: Thank you Deborah and good morning everyone. Welcome to our 2014 first quarter earnings call. This was a great start to 2014 for Perion, with record financial results, and continued strong growth both in terms of revenue and profitability. I’m very pleased with the progress we have made, especially given the significant task of consolidating and fully integrating Perion with ClientConnect. The theme of this first quarter and into the second quarter has been integration. The greatest challenge with most acquisitions is not the negotiations leading up to closing, rather it is the post-merger integration to ensure future success. I am happy to report that the integration process has gone faster and smoother than we anticipated, and I am extremely encouraged with the incredible talent we have assembled. When we embarked on this journey 9 months ago, we started planning ahead with a post-merger integration process to be implemented immediately upon closing. It consisted of employees from both sides, and proceeded to develop 10 different working teams to tackle everything from financial reporting consolidation to quick business wins and infrastructure cost savings. Many of these teams have already finished their original objectives and have moved on to other potential synergy projects within the company. I think it is fair to say that the execution capabilities of the team have been stellar as evidenced by our financial results. With $117 million in revenue, $33.6 million in EBITDA and over $27 million in Net Income this was truly a great quarter. But more importantly, it is a great testament to the talented execution oriented team we have at Perion and budding expertise we have developed with regard to acquisitions. Today, Perion is stronger than ever, with the talent, scale, resources, infrastructure and expertise necessary to develop and deploy new solutions that leverage our current business, and position Perion as a clear industry leader. We are now the second largest search distribution company in the world and one of the largest software distribution providers through our, industry leading, technology platform. We are particularly excited, as this transformative acquisition provides us the means and resources to implement our 3 year diversification strategy. This strategy will take Perion from being a company with one main revenue source and obvious industry challenges, to a multi-product and multi-revenue based company. Our vision remains the same however, as we strive to be the platform and partner of choice for developers that want to build, monetize and optimize their business. Simply put, it has become increasingly challenging to be a software or app developer, even as the consumer market has grown with smartphones and tablets, it remains challenging for software and app developers to get discovered. While the logistics of distribution on the mobile side are slightly easier, marketing your offering and creating an awareness to your product is very difficult. Atop all this, it has become much more difficult to monetize applications. Half of all apps don’t generate enough revenue to cover development costs, let alone marketing costs. In a recent study done by Adkit, an online research company, it found that 49% of all app developers both on the desktop and mobile platforms, said discovery is their biggest problem with monetization a close second. To make things more difficult, most app developers – being small businesses– lack the analytical capabilities to improve funnel conversion, create systems for tracking revenue per user or implement traffic acquisition campaigns. In the same study by Adkit, it found that 68% of all developers are either individuals or belong to a small business with fewer than 10 employees. Today, at Perion we are laser focused on addressing all these challenges as we build out our Lifecycle Management Platform. This powerful solution will essentially provide a comprehensive, single and cross-platform solution for app developers that want to increase their distribution, optimize the engagement of their users and, of course, monetize those users. Today, we largely utilize search agreements to provide monetization solutions to developers. In the coming quarters, we’ll see display advertising play an increasingly prominent role in our monetization efforts. In addition to potential acquisitions to help us round out our Life Cycle Management platform, we have launched a few organic initiatives in the first quarter and are pleased with their progress. The first is using our data, while adhering to privacy policy standards, to build a profiling system to help our partners increase their display advertising revenue through targeted advertising which yield higher CPM’s. Our new scale and massive data set gives us a powerful advantage in the display advertising space. While the test is still in its early stages we are very encouraged by the increased yield our data is able to provide to advertisers and therefore to our partners. The second initiative we launched this quarter is a mobile distribution platform leveraging our proven business intelligence systems to help developers increase the efficacy and yield of their marketing efforts. We have partnered with a number of market leaders as design partners for this new platform and will update you on our progress next quarter. The third initiative is focused on extending our core search business into the mobile arena. We are working on a few variations of a mobile search product that will leverage our unique search partnerships and tremendous expertise in the search business. These offerings are customized for certain verticals and our partners’ needs while delivering a good consumer experience. Though it is still in the early stages, it is showing some encouraging results. Before I turn the call over to Yacov for a detailed financial analysis, let me mention that we recently filed a shelf registration statement with the SEC, specifically registering certain shares issued in connection with our reverse acquisition with ClientConnect. This filing was agreed to at the time of signing, was one of the conditions of the agreement and was disclosed in the Proxy statement issued last October and in our annual report. Affiliates of Perion need a shelf registration because they have resale restrictions under the SEC rules. However, this filing was just a technicality as all shareholders are still under the agreed on lock up provisions. As a reminder, approximately 5.5 million shares will be eligible to come off lockup by July 3, 2014 when all shareholders can sell up to 10% of their holdings. Approximately 40% of the shares issued to the Conduit shareholders remain locked up for at least another year and a half while the other 50% remain locked up, dependent on our stock price increasing to $15, $18.50 and $22. We are exploring different options to put in place a structure that will facilitate an organized and responsible way for these shares to be sold. To explain our thoughts in a bit more detail, allow me to elaborate. We believe that increasing the float and expanding liquidity could help facilitate new institutional ownership of Perion’s stock and reduce potential investor concerns about the relatively small public float and limited liquidity of Perion’s stock. In addition, increasing our float and attracting new institutional investors will also lower the volatility of our stock. In addition, we are contemplating a debt offering to residents of Israel. We favor a debt offering because of the low prevailing interest rates and our goal of minimizing dilution of our shareholders. In addition, our strong cash flow supports our ability to service the debt. We have a history of making good strategic acquisitions, and we have shown that we are cautious and methodical in this approach. That will not change. With that I’ll turn the call over to Yacov and then take your questions. Yacov….
Yacov Kaufman : Thank you Josef. As mentioned earlier, the accounting for our acquisition of ClientConnect is viewed under US GAAP as a reverse acquisition, and as such, I’ll be discussing the non-GAAP results for Perion in the first quarter for 2014, as compared to the non-GAAP results for ClientConnect in the first quarter of last year. In addition, for the sake of transparency, for this quarter alone, I will compare the main components of Perion’s results to those of the combined Perion ClientConnect entities in the first quarter of 2013 on a non GAAP basis. Given our past history of acquisitions, and our intention to do future acquisitions, we do not intend to compare against combined in future quarters. Revenue for Perion this quarter was $117.1 million, increasing $37.4 million or 47% compared to $79.7 million at Client Connect in the first quarter last year. On a combined basis, revenues increased $9.9 million, or 9%, as compared to $107 million in the first quarter of 2013. In the first quarter of 2014, Non-GAAP revenues include $2.3 million of Perion’s deferred product revenues, which were deducted in accordance with US GAAP as a result of the acquisition. In the first quarter of 2014, Perion increased its investment in customer acquisition by 49%, to $59.6 million, representing 51% of revenues, as compared to $40.1 million, or 50% of revenues in the first quarter of 2013 by ClientConnect. On a combined basis, the two companies spent $51.5 million on customer acquisition in the first quarter last year. R&D expenses this quarter were $12.2 million, or 10% of revenues, compared to $9.7 million, or 10% of revenues in the first quarter of 2013. Non GAAP R&D expenses in the first quarter of 2014 and 2013, do not include $1.1 million and $0.6 million, respectively, of non-cash employee equity compensation, included in the GAAP report. Non GAAP R&D expenses in the first quarter of 2013 at ClientConnect, included $5.2 million of expenses classified as discontinued operations in the GAAP report. Looking forward, we intend to further increase our investment in developing new products for new platforms, without increasing the expense as a percentage of sales. Sales and Marketing expenses for the quarter, excluding customer acquisition costs, were $4.4 million, or 4% of revenues, compared to $4.1 million, or 5% of revenues in the same quarter last year. These expenses were reduced in the non GAAP reports for the first quarter of 2013 and 2014 by, $0.3 million and $0.7 million, respectively, for non-cash equity compensation, included in the GAAP reports. In addition, the non GAAP reports for the first quarter of 2013 included $1.9 million of expenses classified as discontinued operations in the GAAP report. . Our G&A expense for the quarter was $5.3 million, or 5% of GAAP revenues, compared to $2.4 million, or 3% of revenues in the first quarter of last year. The increase in G&A reflects our building ClientConnect into a sustainable company capable of being active in the public and M&A markets. Building in part on the management platform created in Perion and which had G&A expenses of $1.9 million in the first quarter of 2013. GAAP operating expenses including CoGs during the quarter included $4.4 million of non-cash share-based compensation, $4.5 million amortization of acquired intangible assets and $2.9 million in acquisition related expenses, providing for a total of $11.8 million adjustment of GAAP Operating Expenses. In the first quarter of 2013 the GAAP Operating and CoGs expenses were increased by a total of $7.6 million classified as discontinued operations in the GAAP repor6t, partially offset by an increase of expenses by $0.4 million of non-cash employee equity compensation. During the first quarter of 2014, EBITDA was $33.6 million, or 29% of Non-GAAP revenues, up 49% compared to $22.4 million, or 28% of Non-GAAP revenues in the first quarter of 2013. On a combined pro forma basis, EBITDA increased $3.2 million, or 10%. Perion’s net income in the first quarter of 2014 was $27.6 million, increasing 41%, from $19.6 million at ClientConnect in the first quarter of 2013. On a combined basis, the two companies generated in the first quarter of 2013 $25.3 million in net income, in comparison to which, Net Income increased 9% this quarter. Again, I caution that this figure does not account for any synergies achieved as a result of the split of ClientConnect from Conduit and the subsequent combination. As of March 31, 2014 cash and cash equivalents were $51.2 million, or approximately 75 cents per share. This was made up of primarily $13.9 million cash flow from operations, a $23.4 million cash balance at Perion prior the acquisition and a $14.8 million short term loan from Conduit to support working capital post acquisition. In the context of acquiring the ClientConnect business, Perion did not acquire cash or working capital, as such, a significant amount of the quarter’s profits were reflected in creating working capital. Once accomplished, we expect cash flow from operations to be closely correlated to Net Income in the coming quarters. This concludes my financial overview. Let me now review some key operating metrics for the first quarter and end with our 2014 outlook. Our total queries in the quarter totaled approximately 3.4 billion of which 1.5 billion were from tier 1 countries and 1.9 billion from rest of world. Tier 1 queries increased year over year, as we shifted our CAC to Tier 1 countries, away from the rest of the world, with the industry changes in February of 2013. In addition as we move more toward advertising we felt it important to start reporting some relevant metrics. Ad impressions totaled approximately 3.9 billion impressions with 1.5 billion in Tier 1 countries and 2.4 billion in rest of the world. Lastly, we are reiterating our full year 2014 guidance. We continue to expect revenues to be in the range of $460 to $470 million, EBITDA is expected to be between $125 and $130 million, and Net Income is expected to be in the range of $103 to $108 million. We are seeing some seasonality in our business, and as Josef mentioned earlier there are still some expected headwinds from certain browser changes to be implemented at the end of the second or beginning of the third quarter which will impact the quarter-to-quarter results. We expect the fourth quarter to be our strongest quarter, with the second and third quarters slightly weaker on a relative basis. Therefore, despite our better than expected first quarter performance we are leaving our full-year guidance as is and remain confident we will achieve it. With that, we will now open the call to questions. Operator…..
Operator: Thank you. The question-and-answer session will be conducted electronically. (Operator Instructions) And we’ll go first to Kerry Rice at Needham.
Kerry Rice – Needham & Company: Thanks a lot. Hey, Josef, hey, Yacov, a couple of questions, maybe if you can elaborate a little bit one on your kind of targeted display advertising that you’re going to rollout. Is that both online and offline, I mean, I’m sorry online and mobile, and how do you kind of look at the progressing through the year? The second question is expanding local search into mobile and can you maybe add some more color around that, is that in app, is that mobile web? And then just a quick housekeeping on the number of queries and add impressions. I don’t know, if you could give any year-over-year growth rates. I know you said that queries grew year-over-year, but if you could give anymore specifics, that would be great? Thank you.
Josef Mandelbaum: Sure, thanks for the questions, Kerry. Okay, I’ll try to take one at a time and Yacov can chime in. So the – on the targeted advertising side, we have started this quarter partnering with some – few select companies, and we are seeing that data and the first thing actually building our own profile system and outbuilding the RTB system. Right now it’s mostly online specifically. We’re seeing some nice early results in terms of the yield or the list in the yield for our advertisers and our partners in terms of monetization. In the mobile distribution side, as I mentioned, we are building, part of that also we’ll do some targeting. That’s probably going to be towards the latter half of the year, while the targeted advertising side we are working on now. I hope at the end of Q2, we’ll probably rollout in a more aggressive way in early Q3, not decline as of today. We’re excited about what we can do that and hopefully look to leverage our position in the marketplace to get into, we think in field, which is growing significantly both online and our mobile and which we have significant asset that up until today, frankly just have never been utilized for a variety of reasons that today we’re locking as part of the acquisition. We now have enough scale and as you know with the data’s that enough scale to really be able to leverage your data enough to give an increased yield to advertisers. So, we’re – it’s probably focused primarily on the depth as a proof-of-concept. First, well, in the mobile distribution industry as I mentioned, second, we are also looking at some of the opportunities we have to do some targeting on the mobile side and explain probably more of that in the second quarter earnings call as we have more data. On the – on your mobile search side, so on that one, what we’re doing is specifically we are targeting at some verticals, it’s in app. It’s not mobile web today, it’s in app, and we’ve targeted some verticals that we think are very appropriate, they have good reach. And through our existing relationships basically, it’s adding on some type of nice, consumer looking search box and search products into the app or into the – integrated into the app itself. And these are mostly people who can’t – either can’t get the deals with the direct search providers and some of them are our partners already. So we just started launching that and we’re seeing actually some nice LTV in the initial, and I think operational we’re six to eight weeks, and we are seeing some good initial results with some of our partners. So, again, it will take a while to rollout, but we think we’ve identified two or three or four verticals, which we think are really appealing to this type of product, hoping that will help them add incremental monetization to their apps.
Yacov Kaufman: With regards to the queries if I may, as we mentioned in the prepared comments, we are leveraging the advantageous of our Bing contract and therefore shifting our section to Tier 1 countries. And just to give a little bit more color, we said we had about $3.4 billion queries this quarter, that is actually down by about 9% from client to mix in the first quarter 2013, but is reflective of a dramatic increase in the Tier 1 increase, Tier 1 queries from about – from the low $900 million to about $1.5 billion as we said. While the rest of the world queries went down from $2.8 billion to $1.9 billion. So what you are seeing is a shift to Tier 1 countries and leveraging the advantages of our Bing contract.
Josef Mandelbaum: Let me add to that. Even in the rest of the world, you are seeing a shift to higher – few countries were actually the yield of the RPM is still higher than some of the other countries we are focused on before. So if you look at managing the balance of queries, we’re focused on, obviously the different countries that have the highest RPM, as well as where we can get the best distribution. So it’s a combination of those things, and I think we’ll continue to work on that as we go forward. But we have multiple search participants that allow us to kind of maximize the yield for our partners, and they will make more money and in turn obviously does the same to us.
Kerry Rice – Needham & Company: Okay. Thank you.
Josef Mandelbaum: Thank, Kerry.
Operator: We’ll take our next question today from Dan Kumos with Benchmark Company.
Daniel L. Kumos – The Benchmark Company: Yes, great. Good morning. Nice quarter guys. Just couple questions here. First, we have heard that there were – someone was out there that that Google was holding particular query data from certain partners. Were you affected by that at all? And then secondarily, Yacov, excuse me, Josef, you did reference some browser changes coming up in either 2Q or 3Q. We know that Google has been pushing new clients towards their custom search ad platform and had heard from industry sources that being with likely to follow six months, is this what you are referring to and if so, does it require any technology changes, whether it’s a shift from XML to Java and how disruptive might that be?
Josef Mandelbaum: Sure. Thanks, Dan, nice to have you on the call. On the first one actually I don’t – we don’t do anything, the changes on outside. I have not heard with you heard about that Google is holding anything, so I can’t really comment on that. We have good partnership with them and we haven’t been affected of anything. So I don’t have anything else to add. With regards to the browser changes, it’s public information, obviously that Chrome specifically and black post is making certain changes for the benefit of consumers to make sure there’s more transparency. And as we said before, the long-term we support all those things, and we think that it’s a good return for the industry. Although it might have a slight negative effect in terms of conversion and therefore queries in the short-term, we do think that over time not being one of the bigger players in industry, the industry is still going to a transition started last year, still going to this year. We do think that this year is still be a transition year, but we are actually bullish in the long-term because of the basic fundamentals of the business, which is most people on this phone call today still don’t want to give their credit cards to buy software from whether is on the mobile or on the desktop app. And there’s still software developers who still want to make money to put food on the table. So they still need partners and we’re – I think a very good partner with good repetition in terms of servicing the needs of our partners. And therefore, there always be some type of advertising being search or display monetization opportunities for people like us to play a role. And I think what we’ve been focused on in general is assuming everybody is treated equally in the industry, which we like, and we hope over time that will happen then we are well positioned to be a long-term player in the industry. And I think the industry reputation will get better over time, because consumers will understand and therefore the problem with – or the IE or other browsers will be more than happy to work with any [companies] (ph) as long as the consumer acceptance is above word and with full transparency. So I think the transition will hurt a little bit, in some cases, you are seeing that already today. I think we’ve been certainly aware of that. We prepare for it. We are still working with on those solutions. And I think from that perspective, long-term we’re bullish, but as Yacov said, there maybe some weakness in the next few quarters, still too early to tell from our standpoint. We obviously hope that and we’ll see how it goes, but we’re sill very confident about the full year. With regards to the technology side, I think Chrome published the way you can work with them, it’s pretty clear cut. So I think, yes, you work with them on and I think it certainly require massive changes of – on a technology side, which is working with them and has cooperated that into your flow. And we’re – we intend to do that, and I think as I mentioned before, if everybody else does that, I think it’s better for the industry and better for consumers.
Daniel L. Kumos – The Benchmark Company: Got it. Thanks for the color. Let me just follow-up quickly on the monetization side of the equation here. And I guess as we look out it and understanding that none of us really have a crystal ball as to how all these changes are going to play out. Historically, there has been pretty wide monetization gap, but as these changes filter through, do you still expect the gap to be in place between Google and Bing, is it closing and have you seen any progress over the past six months with all these changes being made?
Josef Mandelbaum: Yes, I mean, I’m probably not going to go into too much detail on that given the sensitivities of all of our wonderful search partners that we have confidentiality. I would say on a macro level, I think as if market share for Bing and Yahoo! continue to increase then actually we will get more volume, more volume will be to higher RPMs to move advertisers in advertising, that’s just the way to think on. Then I think the gap, we remain relatively same what it is today. I think in the gap itself is made up of few different verticals not just the RPM, as you know, based on conversion and there are a lot of other variables. So I think today in certain countries, you’re saying that it is competitive between the different search partners, and in other countries, clearly there are still some legals out there. We would like to work with all three and hopefully get the best deal as we can by working with all three and working with all of them to optimize our business within.
Daniel L. Kumos – The Benchmark Company: Okay, great. Thanks for all the color on that. I have a few more, but I’ll step back in the queue and let other people ask. Thanks, Josef.
Josef Mandelbaum: Thanks, Dan.
Operator: Moving on we’ll go next to Jason Helfstein at Oppenheimer.
Jason Helfstein – Oppenheimer & Company: Thanks. So one point of clarification and two questions. The first just to go back to Kerry’s question, so you’re saying that by sometime you ended the second quarter early third quarter, you would have some basically tax cases from display advertising in mobile that you could effectively talk about. I just want to clarify that that’s – I think about the timing around that?
Josef Mandelbaum: We certainly hope so, yes.
Jason Helfstein – Oppenheimer & Company: Okay. And then second, can you talk about how you think about, I guess return to shareholders, I mean, obviously that can come in different ways, they can come through growth, it could come through buyback of shares, it could come through dividend, ultimately what if you’re asking shareholders to bet on here that you can diversify the business against display. And then into mobile and to the extent that will take time, just give us your thoughts about finding other ways to return capital to shareholders kind of while we are waiting for growth initiatives. And would you consider with dividend or potentially buying back stock once you completed debt offering, and there was more liquidity in the stock through potentially a secondary? And then the final question, can you talk about the timing of when you expect to receive the full OpEx synergies, net of any investments from the Conduit merger? Thanks.
Josef Mandelbaum: Sure. Thanks, Jason, nice to have you on the call. So, with regards to your questions of about increasing shareholder value and all the different variations, first and foremost, I think, our answer is probably going to be a little bit can, but it’s the right answer, which is, we always are exploring the ways of optimizing and increasing shareholder value. We look at all options pretty much in any given point in time and we make decisions and we think over the long-term do increase shareholder value. Specifically, what you said, I’m not putting anything off the table today. But I think what we are asking shareholders to believe is not a big week. We’re growing even on a pro forma basis by 10% in industry, which has had challenges and most of the companies have not grown, we are growing. We are using the cash, we are generating, which is significant to and still showing significant EBITDA and the process to invest in few other businesses, and I think we’re leveraging our core assets and core strength. And I think based on that, I think it’s firstly, it’s a pretty compelling value proposition for investors. And I think we’ve proven in the past that, we do deliver over a period of time and I expect the same thing here, if we augment that with some other financial issuance whether that would be buyback or dividend over time. Again, we are open to anything, if it makes sense for shareholders and increasing shareholder value. But we have nothing specific plan at this point in time. With regard to the last question, I don’t remember about what?
Yacov Kaufman: The Conduit synergies.
Josef Mandelbaum: Yes, the Conduit synergies. Thank you, Yacov. We would expect, I think the full amount of synergies by the end of this fiscal year. We were ahead of schedule on our ways, but there are certain, bigger projects that take time. And obviously as we mentioned earlier, one of those is clearly you are going to be moving into the new headquarters, which will be the end of August. And that will be the first time – well, then say, in nine months, where we’re all together. I could tell you just from a (indiscernible) perspective, it is expensive, we are traveling back and forth often. But also just from the synergies of different people and two different, frankly two different cleaning crew reserve, two different, all different aspects are running through the different sections let alone the risk of two different offices and other assets when you put together, the synergies we’ll prevent, we’ll prevail, we think by the end of the fiscal year, we will have pretty much most of the synergies that we’ve identified finalized.
Jason Helfstein – Oppenheimer & Company: And just can you follow-up on just a little more on that, I mean so exactly what we think the impact will be, it might be 2015 of those cost savings?
Josef Mandelbaum: Yes. The synergies came in regard to contributing, one is cost savings and one is revenue opportunities, so both. I think for – we said previously, but I think for this year, we believe we’re probably in the range of this year, it’s in the numbers, we already received roughly around $7 million to $10 million of synergies on both the revenue and the operational side. And I think, next year we probably continue to see in that same ranges on a full run rate hopefully by the end of this year in the probably $5 million to $10 million depending on certain aspects of the business that, hopefully will happen, it could be on the higher end of that as others almost on the lower end of that. So altogether probably between $15 million to $20 million of overall synergies.
Jason Helfstein – Oppenheimer & Company: Thank you.
Operator: And moving on we will go next to Jay Srivtsa with Chardan Capital Markets.
Jay Srivtsa – Chardan Capital Markets: Okay, thanks for taking my questions. Congratulations on a good quarter and guidance. On the mobile side, Josef, could you give us some sense on what the timeline is for launching some of the products and when do you hope to start to realize the material revenues?
Josef Mandelbaum: So, as I mentioned earlier, I think we are – we have won some of the products really in the small beta testing. To fully roll them up, I would expect end of Q3, early Q4, I mean, as you can imagine, it does take sometime and obviously there is technology, but there is also partnerships and business developments work has to be done. I don’t expect there is any material impact on revenues this year. But we believe next year as we grow, mobile will be the fastest growing part of our business, which is probably not a really in cycle comment, because it’s probably anybody’s more fastest growing part of the business. But we think just likely to be in – we hope to have two or three other things we are working on a mobile to share with you over time that will also help accelerate growth towards the end of this year into 2015, where the mobile revenues will be more significant.
Jay Srivtsa – Chardan Capital Markets: Okay. And then in terms of synergies, Yacov, can you highlight what are some of the cost savings you expect to realize and when does it start to hit the income statement?
Yacov Kaufman: Well, I think the synergies will come in two forms. First of all, we are planning and as we saw through our guys we are planning growth through the year. And the larger company and the combination of the companies will enable us to achieve that growth with a smaller investments in expenses thereby makes any and even achieving a higher EBITDA ratio, that’s a main point. The second one though, as Josef mentioned, the near fact that we will be in one location just as a matter of fact the cost per square meter or square foot that we’re resting in the new location is lower than either of the locations we’re in right now. So that we are able to – as I said scale up the size of our offices without impacting on the bottom line. And there are numerous other examples of what we are able to achieve whether that be in the rental, whether that be with car leases, another assets of the companies that we should be able to achieve comes towards the end of the year and into 2015.
Jay Srivtsa – Chardan Capital Markets: Thank you.
Operator: And it appears we have no further questions at this time. I would like to turn the program back over to our speakers for any additional or concluding remarks.
Josef Mandelbaum: Thank you. As always, I would like to thank talented team at new Perion for all their hard work and dedication, helping us achieve these great results. Together, we afford us to achieve great things as we transform Perion into a new company, and deliver proven solutions to help application developers, grow monetize and optimize your business, both on the desktop and in mobile environments. Stay tuned for more exciting news from us over the next few quarters. Thank you. Have a good day.
Operator: Ladies and gentlemen that does conclude our conference for today. Once again, I would like to thank everyone for joining us.